Operator: Good day, ladies and gentlemen. Welcome to the Fresh Del Monte Third Quarter 2010 Conference Call. At this time, all participants are in a listen-only mode. At the conclusion of our prepared remarks, we will conduct the question-and-answer session. (Operator Instructions) As a reminder, this call is being recorded. I would now like to introduce your host for today’s conference call, Christine Cannella, for opening remarks.
Christine Cannella: Thank you, Melanie. Good morning everyone, and welcome to Fresh Del Monte Third Quarter 2010 Conference Call. I’m Christine Cannella, Assistant Vice President of Investor Relations. Joining me today are Chairman and Chief Executive Officer, Mohammad Abu-Ghazaleh; and Senior Vice President and Chief Financial Officer, Richard Contreras, who will discuss our results for the third quarter. Fresh Del Monte issued a press release this morning via Business Wire, e-mail and FirstCall. You may visit our website at www.freshdelmonte.com to register for future distributions. This conference call is being webcast on our website, and it will be available for replay, approximately two hours after conclusion of this call. Our press release includes reconciliations of any non-GAAP financial measures we mention today to their corresponding GAAP measures. The press release may be found on our website. This morning, Mohammad will review our operating performance during the quarter, along with recent developments and our future outlook. Richard will then review our financial performance for the third quarter of 2010. Please let me remind you that much of the information that we will discuss this morning, including the answers we give in response to your questions, may include forward-looking statements regarding our beliefs and current expectations with respect to various matters. These forward-looking statements are intended to fall within the Safe Harbor provisions of the Securities laws. Our actual results may differ materially from those in the forward-looking statements as a result of various factors, including those described under the heading “Description of Business Risk Factors” in our Form 10-K for the year ended January 1, 2010. This call is the property of Fresh Del Monte Produce. Redistribution, retransmission or rebroadcast of this call in any form without our written consent is strictly prohibited. With that, I would like to turn this call over to Mohammad Abu-Ghazaleh. Mohammad.
Mohammad Abu-Ghazaleh: Thank you, Christine. Good morning everyone and thank you for joining us today. For the third quarter despite the prolonged global economic slowdown and difficult market conditions, we achieved higher sales growth in our banana and gold pineapple businesses in North America along with continuous sale growth in our Middle East region. We’ll also continue expand our market reach through new and existing distribution channel as a means of promoting our global growth and brand awareness. For example, we made strong progress with our expansion and the vending machine and convenient store channels, where our products have been well received. Delivery points such as these allow us to further capitalize on the convenient ready to eat health snack and quick service categories. During the quarter, we continue to transform our melon strategy. This strategy includes changing our product mix and volume to be more in line with current market demand. We also closed on the sale of our South African fruit canning business in October, a move that would favors the in line production and lower cost in our prepared food business by consolidating to our facility in Greece. We believe initiatives such as our melon strategy and the consolidation of our canning operation and expansion into new markets and new channels offer excellent opportunities for improved efficiencies, greater balance in today’s economic environment and enhanced profitability over the long-term. During the quarter, we generated strong cash flow from operations, which enabled us to purchase additional share as part of our repurchase program and yet still maintain all of the strongest balance sheets in the industry. While we are pleased with our top-line performance, ongoing improvements in many of our business lines as strong cash flow during the third quarter, we were totally appointed with our bottom line. Our achievements were countered by a number of challenging events which resulted in our missing several key targets. These challenges included heavy rains in our Guatemala banana sourcing areas and to a lesser extent drought conditions in our Philippine sourcing areas, negatively impacted our banana and pineapple production volume. These adverse events were compounded by stronger currencies versus the dollars in several our producing countries along with increased fuel and carton prices. Together, these factors led to significantly higher cost during the quarter compared to last year at this time. In addition to higher production cost, we were challenged with ongoing complex market conditions in Europe, weak consumer demand and an industry wide banana supply imbalance kept the average price of bananas suppressed negatively impacting our profitability. As you may have heard, the Iranian authorities stopped granting banana import licenses at the end of September. Upon hearing the news, we immediately took steps to redeploy fruit to other markets in the area. However, I’m happy to inform you today that as of this week, licensees have been issued and we have started loading to that destination. In summary, while we are currently facing a number of issues, I’m convinced as we properly execute our strategy we will deliver long-term benefit to our shareholders. As we move forward, we are cautious about the near-term as industry and economic conditions do not appear to be improving. However, we have a broad and diverse product line that is sourced and marketed globally, decreasing our risk exposure. We have a strong balance sheet, which allows us flexibility and we are supported by a management team that understands today’s challenges. At this point, I would like to turn the call to Richard. Richard?
Richard Contreras: Thanks Mohammad and good morning. For the third quarter of 2010 excluding assets impairment and other charges or credits net plus market delivered earnings per diluted share of $0.22 compared with $0.61 in the prior year period. Net sales increased $27 million to $793 million compared with $766 million in the third quarter of 2009. In addition, excluding asset impairment and other charges or credits net, gross profit was $51 million compared with $69 million in the third quarter of 2009. Operating income was $14 million compared with $28 million in the prior year and net income was $13 million compared with $39 million last year. During the quarter, we benefited from a $1 million net credit primarily related to an insurance recovery from flood damage to our Guatemala banana operation. Now for our segment performance. In our Banana Business segment, net sales increased $19 million to $370 million compared with $351 million in the third quarter of 2009, driven by increased volume and higher pricing in North America and our expansion in the Middle East. Volume was 8% higher than last year. Worldwide pricing decreased 2% or $0.28 per box to $13.47. While we experienced price increases in North America and favorable exchange rates in Asia, these increases were not enough to offset lower pricing in Europe and Middle East. Gross profit excluding other credits decreased $22 million to a loss of $8 million compared with gross profit of $14 million a year ago. Worldwide unit cost was 4% higher primarily driven by an 11% increase in fruit production and procurement cost. In regard to the suspension of importation licensees by the Iranian government that Mohammad mentioned, the negative impact that we experienced in October and we’ll probably continue to experience for the next few weeks is not only the loss profit on our sales in this market, but also the impact, the excess supply has high on pricing in the Middle East and Asian market. In our other Fresh Produce Business segment in the third quarter, net sales increased 3% to $320 million compared with $311 million in the third quarter of 2009, and growth profit for the quarter increased 4% to $46 million compared with $44 million in the prior year. In our Gold Pineapple category, net sales increased 14% to $118 million compared with a $104 million in the prior year. Volume increased to 11%, unit pricing was 2% higher and unit cost decreased 3% due to higher production volume partially offset by unfavorable exchange rates in Costa Rice. In our Melon category, net sales decreased 15% to $18 million compared with $22 million in the third quarter of 2010. Volume decreased 9% as a result of our strategy to match market demand. Unit pricing decreased 7% and unit cost was inline with the prior year. In our Fresh Cut category, net sales decreased 4% to $79 million compared with $82 million in the prior year, the result of lower sales in Europe. Volume was 9% lower. Unit pricing increased 5% primarily in North America and unit cost was 2% higher. In our Non-Tropical category, net sales increased 13% to $53 million compared with $47 million in the third quarter of 2009. Volume increased 21%, unit pricing decreased 6% and unit cost was 5% higher. In our Tomato category, net sales decreased 8% to $24 million compared to $27 million in the prior year. Volume was 6% lower, pricing decreased 3%, and unit cost was in line with the prior year. In our Prepared Food segment, net sales increased $8 million to $94 million during the quarter. The rise in net sales was primarily the result of increased sales in our canned pineapple and deciduous fruit product lines, and gross profit decreased 3% to $14 million primarily due to higher production costs. In our Other Products and Services Business segment, net sales for the quarter decreased $10 million to $9 million, the result of lower sales in our third party freight and Argentine grain business. Gross profit improved by approximately $3 million due to lower losses in these businesses.
 : The foreign currency impact at the sales levels for the third quarter compared to the prior year was unfavorable by $5 million and the foreign currency impact at the gross profit level in the third quarter was unfavorable by $6 million compared to the prior year. SG&A expense during the quarter was $41 million compared with $43 million in the third quarter of 2009. The decrease versus last year was primarily the result of the lower administrative expenses partially offset by higher marketing expenses in Europe and Asia.
 : For the quarter, interest expense net was $2 million. At the end of the quarter, our debt was $202 million as we paid down $14 million during the quarter. We also spent approximately $29 million in the quarter to repurchase an additional $1.4 million shares as part of our share repurchase program. Income tax expense was $3 million during the quarter compared with a net credit $30 million in the prior year period, and capital expenditures for the year are expected to be approximately $80 million. This concludes our financial review. Operator, can you turn it over to Q&A please?
Operator: The question-and-answer session will be conducted electronically. (Operator instructions) Our first question comes from Heather Jones of BB&T Capital Market.
Heather Jones - BB&T Capital Market: Real quick, just briefly on the Iran issue, if could you give us the sense of the impact you mentioned October and you expect the next few weeks, are you able to give us some sense of quantify that somewhat for the Q4?
Mohammad Abu-Ghazaleh: What I can tell you today is prices in Japan are around ¥400 to ¥500 a box of bananas, which is tremendously low for this time of the year and we don’t see that this going to improve in the next few weeks because really there is a lot of volume in the market. I don’t feel definitely any breakthrough before five, six weeks from now that we can see hopefully. If Iran continuous, I said that our buyers started receiving licensees in the last few days, I don’t know if this is open for everybody and everyone can get these licenses, but in our case, we have been able to continue shipping fruit to the Iranian market. As far as the Middle East have not been impacted as that as Japan and Korea. Korea also is selling at very reduced prices. The Middle East has been affected because we have to take a lot more volume into these markets in order to mitigate the situation in Japan and Korea. So, on both sides we have suffered financially, but I think the financial burden is much more on the Asian markets rather than the Middle East market.
Heather Jones - BB&T Capital Market: You think it will take five to six weeks to clean up the excess volumes?
Mohammad Abu-Ghazaleh: I believe so. I think that we need to see at least until the end of year for the market to start shipping up again and hopefully the volumes because it just happened at the wrong time. Iran stopped importing as well as the first in production in the Philippines came at the same time. We are talking about 500,000, 600,000 boxes a week and then all of a sudden we started receiving about a million boxes a week of production. So you can see that there was like a double hit. Prices went down as well as production went up so, and the production I think by the end of year beginning of next year we would see a more balanced production.
Heather Jones - BB&T Capital Market: So, real quick before I move on to my next question, could you give us the sense of the €400 to €500 a box? Could you give us a sense of how much is down year-on-year?
Richard Contreras: I don’t have year-on-year right here, Heather. I can tell you that from right before the license stopped being issued, Japan pricing drops about 45%, Middle East about 30% and Korea about 31%. That’s down from September when right before the announcement.
Heather Jones - BB&T Capital Market: Moving on to the US, we have heard a number of reports indicating that in some instances US contract pricing for 2011 could be down slightly whether it’s through the use of rebates or whatever that effective pricing for next year could be down. Could you give us some color on what you’re seeing during contracting season for this market?
Mohammad Abu-Ghazaleh: It’s unfortunate that it is through that there is some pressure on pricing, going forward. There has been some heavy competition and erosion in some of the pricing. But I hope it will not be so significant that it can lead to a very, let’s negative situation. The competitive environment especially with the volumes being in Central America and Ecuador has been factored into this.
Heather Jones - BB&T Capital Market: Because Latin American volumes had been strong this year so there is more fruits than there was last year?
Mohammad Abu-Ghazaleh: One of the reasons may be it.
Heather Jones - BB&T Capital Market: My final question is, is there been a number of reports about Fresh del Monte and others potentially rationalizing some production in Costa Rico because of well among other things is strengthening in the cologne. I'm just wondering if could speak to that and also if you could speak to what’s your expectations are for cost next year in Costa Rico, because I would assume that end-of-end producers are going to want to pass on higher cost because of the cologne and so, you could just give us some sense of what your expectations are?
Mohammad Abu-Ghazaleh: As far as we are concerned, we made it public that we are going to close down, we close down some of our farms wheat and bananas or melons and that’s the policy that we have adopted. As far as production if the farms are not yielding enough to justify the existence they will be closed. We also did not renew for some growers the contracts will end at the end of this year. So we are rationalizing our volumes in Costa Rica be it through our own farms or through contracting through growers. It is very simple, we want to make sure that we’ll not do anything unless it is profitable, is it no point to take volumes when you cannot sell it or if you have to sell it, then you have to compromise on pricing, and that’s something that we would like to avoid. As far as, the impact for next year, with all the actions, all the measures that we are taking, it will be definitely on the positive side. I mean, we will definitely see some improvements in our costing being and going forward. Let’s say just we have excess volume this year that forced us to sell volumes especially into the Mediterranean market that suspend sizable losses across during the year and unfortunately, this year has been a very special year in terms of pricing. The markets were deemed the pricing never picked up wheat in Europe or the Mediterranean or Black Sea market and that’s something that we will look at very carefully going into next year. I’m sure that we are going to do better than what we did this year.
Heather Jones - BB&T Capital Market: Do you think your total banana volume will be down next year or you just going to be shifting like you might take lots from Costa Rica, but we’ll take more elsewhere or do you think you’ll have an absolute reduction in your volumes?
Mohammad Abu-Ghazaleh: No, we’ll have absolute reduction.
Operator: We’ll take our next question from Scott Mushkin with Jefferies & Company.
Scott Mushkin - Jefferies & Company: Just wanted to clarify how that was gone after and just trying to understand what’s going on in North America little bit better so, I think Mohammad, you said that credit environment tearing the little bit of pricing is a little more difficult as you go through this contract negotiation for the year. The cost up I was just trying to understand what’s driving that given the markets pretty well controlled by three different companies and are you guys pretty thinking driving issues here and why would be doing it at 60 million price increases to deal with lot of your costs.
Mohammad Abu-Ghazaleh: Actually, I hate to pull this that we control the markets (inaudible) definitely we’ll decide of the volume that we handle and the all the implications of handling this volume and the logistics gives us has an industry gives us method better leverage and delivering a good quality fruit. However, I believe it’s not only on our side. Its the client side as well that they’re flexing more muscle and we see a lot of direct imports by some of the retail buyers and this has also have given some difficulties at the force. It disrupts the relationship as well as gives him wrong impression of what is going on. We know how complex and difficult this business is and we know the direct import at the end it’s not going to take over our industry, but still that it’s a very disturbing factor and it’s creates the wrong impression be it on the grower side or the buying side. These are some of the factors that is really disturbing the marketplace. I’d say, the average volume and the market has contributed as well to the pressure on the multinational to put their volumes into the market. I hope the situation will wake itself out and then I believe that going forward things will then to be better.
Scott Mushkin - Jefferies & Company: I have a couple of follow-up questions, but I just want to make sure understood you right Mohammad I’m on the cell phone. Could you say it’s some of the retailers are doing more direct buying or denied this year what you said, could you say that?
Mohammad Abu-Ghazaleh: Some retailers are doing direct by (inaudible) and it’s not we’re not saying that this is a competition or not saying that this is undermining our business. However, it gives the grower start thinking differently and the whole environment becomes let’s say more competitive.
Scott Mushkin - Jefferies & Company: Okay, thank you. Thanks for that clarification. I want to move on the currency [Bill Gross] is out today talking about the US dollars probably in for another 20% decline, which pretends he is right. Is there anything you guys can do, when you look at sourcing a lot of your product at Costa Rica to offset this and if indeed he is right and how should we looking at this as investors as we’re going to next year if we do get this depreciation of the dollar.
Mohammad Abu-Ghazaleh: I’m not sure he was talking about versus Central American currency, Scott, most people are expecting a little bit of an improvement there. What we can do is, what we continue to do is, just manage our cost as best we can and rationalize volumes into places, where it’s least expensive to produce is all we can do.
Scott Mushkin - Jefferies & Company: Which what percent your COGS are associated with Costa Rica, what percentage your product I guess is Costa Rican in origin.
Mohammad Abu-Ghazaleh: Altogether including growers Scott roughly, for the quarter is about 25% of it.
Scott Mushkin - Jefferies & Company: About 25%.
Mohammad Abu-Ghazaleh: Bananas.
Scott Mushkin - Jefferies & Company: That’s Bananas. Of the total like the most of your pineapples are coming, is it upwards 40% of the fruit that you guys.
Mohammad Abu-Ghazaleh: I don’t think it’s quite that albeit it’s certainly higher, pineapples are majority on Costa Rica.
Scott Mushkin - Jefferies & Company: Going onto melons, I know we were down volumes. We had a big down volume in a year ago. What’s our expectation with the melon business as we go into next year, do we think we’ll start seeing up volumes with the new varieties or is that too ambitious.
Mohammad Abu-Ghazaleh: No, the significant increase in our new variety go in to the offshore season starting by in middle of December, but and that’s our direction we are going into variety that really have a premium in the market really then demand price because we believe that melon particularly in general is anybody pulled they say situation. I don’t believe that the melon category with the traditional varieties will ever full of it bad situation as we have seen for the last 18 months and we are experiencing today. That is actually we have cut down on our traditional varieties, we have rationalized our production and we have now focused on the new variety, which I believe will turnaround this category because actually in the last PMA meeting our convention that happened a few weeks ago. The reception on the new variety by the retailers and food savers and everybody they tasted that variety extremely favorable. We are very confident and hopeful that this will really be a new something that will be a very special in its place in the market.
Scott Mushkin - Jefferies & Company: I just have one finalized quick one. Are you guys dispensing then and then you seems already or is that going to happen eventually. Where our [we on then] I know you try to seeing there was an update, but I missed in a little bit.
Mohammad Abu-Ghazaleh: We have start, this is still on its fluency obviously, but (inaudible).
Scott Mushkin - Jefferies & Company: Thank you. Thanks all you before. Thank you for taking all my questions. I appreciate it.
Operator: We’ll take a next question from Bill Chappell with SunTrust.
Bill Chappell - SunTrust: Good morning. I guess just I know you don’t give guidance another lot of things that have happen this year. We’re just trying to understand with currency with what you’re seeing on pricing, do you think you can grow earnings 2011 versus 2010 or is that going to be more of the stretch with so many headwinds.
Mohammad Abu-Ghazaleh: That’s our (inaudible) to earnings, Bill that I was planning to do a lot better than what I did now at the beginning of this year and we were extremely hopeful that it will be a very good year, it turned out not to be a good year, I mean it’s really our business we can never predict what will be the whether, what will be the market, what will be the so many factors that currencies, the political conditions and so we definitely look forward to do better earnings that should be our motivation and our thought.
Bill Chappell - SunTrust: Okay. And then on the melon side, (inaudible) where do see before that it is still like that the core business could never pull out of kind of what we’ve seen over the past 18 months, I mean is that mean there is further rationalization of your assets to go or have you write us a business waiting for incremental upside from the new version.
Mohammad Abu-Ghazaleh: We have rationalized during the last six, seven months and we have already now the program for next season is already in place and the seeds are in the ground and volumes are already fixed for the coming five, six months. Now at the end of this coming season, we would have be examined our operation and our results and we will take decision based on this result. So, going forward if we need to rationalize again we would if we see things are going the right way we will of course remain in the same situation, but what I’m saying is that we are very, very encouraged by the first indications of the new melons that we are introducing in the market and I think that would be in my opinion a very important milestone in our operation going forward.
Bill Chappell - SunTrust: Got it. It just with regard that there are a plan program by retailers or you too kind of educate consumers on the new version and kind of built that out.
Mohammad Abu-Ghazaleh: Yeah, I think what we are going to do is more or less that we did with the (inaudible) gold at the time of production it will take the same kind of [expense].
Bill Chappell - SunTrust: Okay. And just one last housekeeping the keen on asset this quarter you might have mentioned that if you could tell me again and are there any other gains expected in the fourth quarter similar to that?
Mohammad Abu-Ghazaleh: The gain, there is now $3 million on the sale of the distribution center we have in Brazil and about $1.5 million on a shift and to shipping related equipment. We never forecasted, although if you look quarter to quarter we typically have that. So, but no we are not, we don’t have any forecasted future sales.
Bill Chappell - SunTrust: But, nothing is expected, I mean so far this quarter I guess.
Mohammad Abu-Ghazaleh: No.
Operator: Okay, your next is Eric Larson with Soleil Securities.
Eric Larson - Soleil Securities: Good morning, everyone. Mohammad I just have a couple of questions, number one is it sounds like with the impact of the Iranian market, I don’t want to beat the horse to death, I’m just, it’s more of trying to put it into a relative perspective, it sounds like that was one of your more developed Middle East countries and I know that Saudi Arabia is just, you just put some new distribution centers in there and that sort of ramping up. Is that a fair comment that Iran is probably one of your more developed Middle Eastern countries and that we should expect better growth coming out of some of your newer markets like Saudi Arabia?
Mohammad Abu-Ghazaleh: It’s one of our major markets definitely, Iran, but it’s not our - you know, I mean we do have very diversified markets in the Middle East. We cover all the Gulf region from Kuwait to the Emirates to Oman, to Saudi Arabia, Iraq, Jordan, we cover the whole area. I mean it’s not only one market. So that’s why when the stoppage of permits or stoppage of imports into Iran took place, we were able to diversify and to reallocate the volume into all these markets. Of course it affected our pricing, but at least we did not dump the fruit like other operators there. I mean we did not have to chuck the fruit in the farm. We did not have to let that sit there without having destination. We had destinations for all the fruits and the fruit was allocated in different markets. So, Iran is an important market, but it’s not like and therefore us, I mean we can live without it, though it would be nice to have it all the time because it adds up volume and income. But, I believe that going forward the (inaudible) will be not as abundant as it used to be, there will be a little bit scarce. But so far our customers, our buyers have been able to secure important licenses and we have been continuously supplying them their regular volume.
Eric Larson - Soleil Securities: Sure, sure, that made sense. And Mohammad just, give me an overall kind of a 30,000 foot look down, as you enter your first half of next year, when you have - obviously that’s your seasonally strong period for banana sales. Obviously from a supply perspective, the fourth quarter is still going to be tough, are you seeing, as you go into the first half next year, are you seeing banana production globally, particularly maybe out of Ecuador which has tend to be the swing country, are you seeing banana production starting to subside a little bit or how do you kind of view the whole banana, global supply picture as you get into your seasonally strong first half period in 2011?
Mohammad Abu-Ghazaleh: I believe that definitely during the first half of the year, it’s cold and usually the weather pattern changes and the production goes down in all Central America. So, we will see short of production for sure in the first half of next year. And definitely there will be better markets, I mean no question about it. I’m not so sure about Europe, it is going to improve as it should, as we used to see if you know in the previous years. I have been saying from the beginning of this year that Europe is stable and will stay stable. And I think my predictions or my vision was in terms of the pricing and the Europe situation, I believe what we are going to see and that’s my own thinking that nobody can sustain losses going forward in a long term basis, I mean be it on the production side in Central America. France that are producing 18, 1700 or 1800 or even 2000 boxes, with today’s cost pressure and the cost increases, I don’t think these kind of farms can survive in a medium or long term. So they have to go out of production. And ultimately the market itself will determine what and who will be able to produce and what kind of volumes will be in the market. So, it will take time, but I think that we will see more balanced supply and demand going down in the future.
Eric Larson - Soleil Securities: Okay, that make sense. And then Mohammad just one other follow-up question, year-to-date you've spent nearly $80 million on share repurchases which I commend for you that and it’s certainly a bit of a departure from your previous use of cash. I think that if I go back a number of years, you would have normally put that $80 million toward debt reduction and you’d be probably just closer to 100 million or little bit more of debt at this point, under your, kind of your previous philosophies. Can you talk a little bit about that, have you - your philosophy again share repurchase program versus debt reduction. And then at some point would you recommend to your Board that you maybe put a modest dividend back on the company, given that your free cash generation is so strong?
Mohammad Abu-Ghazaleh: I mean you told me about the debt reduction, yes, I would like to reduce, but we will be buying stock as well as reducing our debt going forward. I mean our cash flow will allow us to buy shares and to reduce our debt going forward and maybe some time, maybe in the future we can also recommend to our Board regarding the dividend payment.
Operator: We’ll take our next question from Jonathan Feeney with Janney.
Jonathan Feeney - Janney Montgomery Scott LLC: Good morning, thank you. Mohammad you identified some of the local producers into Europe as marginal producers that are going to struggle to remain in existent. But, what I’m wondering is where are the other marginal producers that are losing money right now because all I see, well I see fundamentals trying to deteriorate, I've watched all the pricing go down, US pricing, just what are the marketplaces that, it’s cracking a little bit. Where, are there producers right now selling a significant amount of banana in a loss and where are we in terms of the correction of that process overall?
Mohammad Abu-Ghazaleh: Well, I can give you an example of ourselves. As I said earlier, the grower now contracted on a long term basis with the multinationals, I mean, some of them will end this end of this year although the next year or I don’t know when, but definitely I mean in our case we have some contracts that are ending this year and they will not be renewed because we are not supposed to buy a product at certain price and sell it with a loss.. And this is a kind of, I mean, grower, he can sell this product to someone else at the same price he was selling in order to make money or he will sell it with a loss or he will have to shut down. I mean I don’t see any other scenario here.
Jonathan Feeney - Janney Montgomery Scott LLC: And if you look at the -- you’ve got a lot of experience, Mohammad, if you look at the past 20 years, say on a scale of 1 to 10, one being the worst banana market, I remember which was 2005 and 10 being the best like sometime early 2000, like sort of where are we in terms of ability for marginal growers to buy?
Mohammad Abu-Ghazaleh: I think we are at a time when really drastic and significant changes that has to take place because the banana industry used to be in the old days a very reasonably and very good business, I mean very profitable business. Over the last 20, 25 years I would say production has gone wild and the increase in either Ecuador and even in Central America has been really unacceptable. I mean, and it’s not their fault. It’s the fault of the multinationals because the multinationals finance these growers and give them long term contracts. So, a grower, you have any grower that will be with a 10 year's contract. He will go either to the bank and this will just like cash in his hand and just want easy to finance these funds. I think the situation changes, and I believe that no one in his mind will go and start rolling additional bananas that he cannot sell in the market and I believe this is a general environment and everybody, I believe, thinks the same way if one has to make money and if he want to stay in the business. That's the only way come to (inaudible).
Jonathan Feeney - Janney Montgomery Scott LLC: So, it's really a question in your opinion of the behavior of the multinationals around profit discipline. It's not the marginal growers that are going, say, direct to retailers or other channels.
Mohammad Abu-Ghazaleh: I speak for stuff, and that's our situation. I cannot speak for my competitors, but as far as the (inaudible) is concerned, we believe that we will live with only the volume that we can sell comfortably in our market and hopefully make decent return on our investment.
Jonathan Feeney - Janney Montgomery Scott LLC: Just one other thing. Do you think in the markets where you operate, given the ship ownership, the land ownership you have should be little bit more heavily than some of your competitors. You are a low-cost producer among those multinationals and just presumably among the (inaudible) as well.
Mohammad Abu-Ghazaleh: I think we are in the mainstream. I believe that we have, we rationalize all the bank. Even with our shipping, now we are rationalizing that we have less ships now than what we had a year ago, we are I believe that we have, we rationalize all the bank. Even with our shipping, now we are rationalizing that we have less ships now than what we had a year ago, we are rationalizing our logistics as well in order to maximize utilization and maximize (inaudible). So, we are not just sitting there and waiting, we are evolving as the market evolves, be it shipping, be it production, packaging. We do have to be alert of what's going on in the market and that's what we do.
Jonathan Feeney - Janney Montgomery Scott LLC: My last question is, what recent recovery at spot charter rate, which seems to be pretty significant. Just the rates that anyone could get if they work out borrow different fruits and place around the world. What impact has that had on the resale value of ships you are looking to sell and what impact has that had on maybe the amount of volume coming into the marketplace, particularly Europe and Asia?
Mohammad Abu-Ghazaleh: I think the shipping standards, they have significantly because of the container ships. The container ships have made the big difference in shipping. The conventional shipping, which is vessel of course has been a very important element in transporting fruits and perishables. We've been through function of the container ships and, I would say the expansion of the container lines and to carrying in our more refrigerated cargo has definitely depressed, let's say the conventional side of refrigerated shipping. This year, for instance, is not the best year for different carriers. I mean, operators. Last year maybe was much better year than this year. The rates haven't been, especially late, they haven't been very strong at all. One has to evolve as the market evolves or as the industry evolves, so I don't see that conventional vessels would be as factor as it use to be years ago.
Operator: We'll go next to [Diane Gessler] with CLSA.
Unidentified Analyst: Maybe I'm confused here, but I thought part of your strategy was to optimize your DC and transportation assets by increasing the volume, in particular banana volume and that was sort of a core strategy even going back to the [Carabana] acquisition two years ago, and now what I'm hearing this morning is (inaudible) are kind of going bananas with banana resin then there's just too much production out there and what kind of backing off that as a strategy? I guess the question is, is that sort of an incremental blip in the total volume strategy over the next three to five years or has there been a sort of systematic step down in your expectation about banana volume?
Mohammad Abu-Ghazaleh: No. I think what we are doing, we didn't change our strategy. Our strategy is the same. However, we are rationalizing. I mean, Europe is not going to be Europe that we have seen before, definitely and we are not there to losing money all the time. I mean, [it's better next time], so that's why we are rationalizing our volumes and I always said we are reducing our volumes concept in order to adjust to the market needs and that would be our policy going forward.
Unidentified Analyst: Okay, but all-in total that with the growth that you see in the Middle East, over the next couple of years. I mean, obviously, (inaudible) situation that we have going on now, but I'm trying to look at it from a longer-term perspective, your strategy would be to continue to build volume in the Middle East, is it? Then offset what you are doing in Europe or?
Mohammad Abu-Ghazaleh: No, no. in the Middle East, definitely. That is the case and we are growing in annual basis there and we are opening new markets and then you can see from our fields that we are growing there continuously. I'm talking about markets that really we don't see future now.
Unidentified Analyst: Okay, perfect, and then if we could talk a little bit about your prepared foods division? Obviously, this year you had a couple of different issues. The (inaudible) product, I think your gross margins year-to-date are down about 300 basis points. I think partly that's just the (inaudible) fruit not producing inventory, and then I guess the other piece is, you haven't seen some margin benefit next year with the closure of the South African plan. Can we see that? Do they expect the 2011 margins to kind of get back to that 16% level, which was I think what you did in 2009 or there's some other reason that would prevent margins from rebounding in 2011?
Richard Contreras: I can't say 16% or not, but definitely, we should start to see the improvement in 2011 and then definitely into 2012 for these changes were made (inaudible).
Unidentified Analyst: Am I correct on about 100 basis point hit for this year because of the amortization of the fixed cost without the product of that?
Richard Contreras: It's about a $7 million hit for this year.
Unidentified Analyst: I'm sorry. Could you repeat that?
Richard Contreras: About a $7 million hit for this year.
Unidentified Analyst: $7 million, okay, can look at on an EPS basis, and then I guess what is the marketplace like for those products, the canned and juice products.
Mohammad Abu-Ghazaleh: I believe that as far as the juice product itself, we are expanding very well. Our concentrate touching on that, our pineapple concentrate has been doing extremely well during the last 12 months and we believe that this going forward will be a very positive element of our operation, because if you know that the orange juice, orange concentrate has been going up throughout the last 12 months and it's very short pitch as well and pineapple is becoming like a substitute or concentrate that is not replacing, but helping to blend with the orange juice, so as far as our juice concentrated juice I think we are doing extremely well as far as our cardboard or let's say the containers choose what we are doing. We are doing very well actually in Europe right now, we are expanding in Africa, we are expanding in the Middle East. As well new product that we are introducing in the market, so we are extremely happy with the development of the prepared food and the market.
Unidentified Analyst: I've had a couple of investors ask me about the insider sales over the last quarter or two. Could you talk a little bit about what we should expect to see? I mean, obviously it's…
Mohammad Abu-Ghazaleh: I don't believe we're going to see a major thing, it's marginally our sales and part of the family members, but we cannot as I said earlier on the last conference call. These are personal decisions that I cannot, we cannot influence the investors and they have share holding, which they can do whatever they want to.
Operator: We'll take your next question is from Vincent Andrews of Morgan Stanley.
Vincent Andrews - Morgan Stanley: I just have one little question left and that just as it goes back to the Japanese environment, I know you gave the pricing and you talked about the supply part of it, but could you just talk a little bit about demand issue. And I think on the last call, we sort of felt like demand has sort of normalized after the banana diet fat and I just wanted to make sure that demand level didn’t take another tick down sequentially?
Mohammad Abu-Ghazaleh: No, I think demand is staying stable, but well you have 50% more volumes in the market or more, I mean there definitely is difference of price, but the demand is there. I mean it’s the same consumption and the same demand.
Operator: (Operator Instructions) We will take our next question from Heather Jones of BB&T Capital Markets.
Heather Jones - BB&T Capital Markets: Thanks for taking the follow-up. I just had one final question. I was wondering you talked about given some of your contract expire at the end of this year and to such fruit, say you do this as well as some of the other multinationals do does, what are your expectations of what will happen with that fruit, because I believe that’s crucial for the directions of the markets next year, I mean do you think it’s going to go on the Maersk liner services, do you think they just will start producing? I mean I agree with you that losses cannot be sustained and alternately you have significant reduction in productions, but just wondering if you could give me a sense of what you’re thinking more in early 2011 with these what independent producers will do once you and other multinationals don’t take their fruits?
Mohammad Abu-Ghazaleh: Well, I believe that that they probably, they will try to sell to one of the other multinationals, if I leave it behind or they will have, maybe they will find a home for it in the next four, five months in Europe, because Europe during that period hopefully, hopefully will be improved and that can return back cost and some profits. But the problem will be not only from January to April, May, but what will happen from May to December next year, I mean or to end of November next year. That’s the big question. So I think if everybody rationalizes and everybody does his homework properly, I think that we will see the market going back to normality or to some same behavior going forward because it’s actually, the name of the game is supply and if supply and demand are more in line you can, everybody can make money, if supply as we see it today is over the demand side then I don’t see where we’re going to go offer this.
Heather Jones - BB&T Capital Markets: So if you as well as other multinationals act rationally and cut your independent fruit contracts that basically will lead too much fruits for them to try to place on their own sort of forced rationalization, is that what you’re thinking/
Mohammad Abu-Ghazaleh: It could be one of the ways. I don’t think that there is -- actually Europe is in a very poor situation, I don t believe. And Europe again -- in general the European countries, you know economic conditions are not right at all, so I don’t see how Europe is going to recover to be honest, in the short term, may in the long term we can see a better future, but I don’t think in the short term we will see -- may be we will see an uptick in the next few months because of the winter, some shortages here or there, but I don’t see a very big huge improvement for a long, let’s say period of time. Therefore three months you will see prices that we saw three years back for instance.
Heather Jones - BB&T Capital Markets: Do you think this, I mean the damage is done and Saint Lucia,·Saint Vincent and Martinique, I mean do you think that could help the EU market over the next few months or just if you could speak to that?
Mohammad Abu-Ghazaleh: This is really minimal Heather, it’s not that, it’s like a drop in the ocean. I mean Canary is overproducing, Africa is overproducing. I mean there is enough fruit in ACP countries than all what is, I mean it’s nothing what is (inaudible).
Operator: That concludes the question-and-answer session today. At this time, I would like to turn the conference back over to Mr. (inaudible) for any additional or closing remarks.
Mohammad Abu-Ghazaleh: I’d like to thank everybody for joining us today and I hope that we can be back on next quarter with better results and better news. Thank you very much. Have a good day.